Operator: Greetings and welcome to the PROS Holding Second Quarter 2022 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the conference call over to Belinda Overdeput, Director of Investor Relations. Thank you, ma'am. You may begin your presentation at this time.
Belinda Overdeput: Thank you, operator. Good afternoon, everyone and thank you for joining us. Our earnings press release, SEC filings, and a replay of today’s call can be found in the Investor Relations section of our website at pros.com. Our prepared remarks will also be available on our website immediately following the call and will be replaced by the official transcript, which includes participant questions, once available. With me on today's call is Andres Reiner, President and Chief Executive Officer, and Stefan Schulz, Chief Financial Officer. Please note that some of the commentary today will include forward-looking statements including, without limitation, those about our strategy, future business prospects and market opportunities, and our financial projections and guidance. Actual results could differ materially from such statements and our forecast. For more information, please refer to the risk factors described in our SEC filings. PROS assumes no obligation to update any forward-looking statements to reflect future events or circumstances. As a reminder, during the call we will discuss non-GAAP metrics. Reconciliations between each non-GAAP measure and the most directly comparable GAAP measure, to the extent to which available without unreasonable effort, are available in our earnings press release. With that, I'll turn the call over to you, Andres.
Andres Reiner: Thank you, Belinda. Good afternoon, everyone, and thank you for joining us on today’s call. We delivered a strong second quarter, building on the momentum we had in Q1. We exceeded the high-end of our guidance range across all metrics, grew subscription revenue by 14% year-over-year and grew total revenue by 10% year-over-year. As we have previously said, the current macroeconomic dynamics are creating momentum for our business. In the first half of 2022 we more than doubled our deal count growth, booking more deals so far this year than we did in all of 2021. Our solutions are resonating in the market as businesses look to offset cost pressures by implementing profit optimization strategies and driving efficiency through digitization. The geopolitical and economic climate of the world today has put extreme pressure on supply chains. Businesses are facing labor shortages, supply shortages, and rising material costs. For businesses to thrive, they need visibility into all factors impacting their bottom line and actionable insights that drive business forward, quickly. Our library of market-leading AI algorithms powering the PROS Platform can forecast demand, optimize cost, price, revenue, and product mix based on real-time data feeds. Our platform automates decision-making processes and delivers market relevant offers across sales channels, driving efficiency and fueling profitable revenue growth. Based on the value assessment we completed, with our solutions, PROS customers reported an average 67% efficiency gain, 200 to 500 basis points margin improvement, and more than 6% revenue uplift. In the automotive space, we’re helping companies of all sizes and at all parts of the supply chain fuel profitable revenue growth. In Q2, we welcomed BORG Automotive, one of Europe’s leading automotive remanufacturers, and Aurora Auto Parts, a leading distributor of heavy-duty equipment, to PROS as new customers. Both facing greater complexity in pricing amidst supply chain fluidity and inflationary pressure, these companies adopted PROS so they can drive profitable growth in real-time with our price optimization and management solutions. In the B2B services space, Securitas, a leading provider of security services, selected the PROS platform to power agreement management with our pricing and CPQ solutions. With PROS, Securitas will arm their sales team with optimized pricing and a streamlined quote-to-agreement process to drive higher win rates and greater efficiencies in contract negotiations. In the air cargo space, we’re empowering carriers to better serve their customers through digital shopping and selling experiences, while driving profitable revenue growth. Digitization has made buyers increasingly more educated with the ability to compare shipping rates online. This coupled with the increased volatility has driven carriers to embrace dynamic pricing and engage with customers directly through superior digital buying experiences. I'm pleased to share that in Q2, Qatar Airways, the world’s largest international air cargo carrier, expanded their partnership with PROS by choosing to adopt our CPQ and price optimization solutions. With Qatar, PROS now has three of the top six international air cargo carriers on our platform. In travel, we’re helping airlines of any size and at any phase of their journey drive profitable revenue growth. Whether it is a new airline coming to market, like our latest customer Celeste Airlines, or a carrier that serves more countries than any airline in the world, like Turkish Airlines who chose to migrate to the PROS cloud, PROS solutions empower airlines to capitalize on the revenue acceleration opportunity in front of them. International travel recovery continues to improve and drive the overall industry recovery, with several international routes outperforming 2019 levels and many others reaching pre-pandemic levels. Despite inflation and high jet fuel prices, industry data demonstrates a high willingness to travel abroad. While in the past fears of a recession have negatively impacted the travel industry, IATA is now projecting the industry will reach 93% of 2019 revenues by the end of 2022, a significant upgrade from their previous December 2021 projection of 79%. Additionally, the fast pace of the recovery has cut industry losses. IATA now expects industry-wide profitability to be within reach in 2023. Giving us further confidence is the willingness to invest we’re seeing from airlines as they look to deliver new, innovative buying experiences to their customers and accelerate revenue recovery. One example is All Nippon Airways, the largest airline in Japan, who expanded their partnership with PROS in Q2 when they chose to adopt our latest cloud solution for group sales optimization. With PROS Group Sales Optimizer, ANA will centralize the management of group bookings, pricing, contracts and policies to streamline the complexity of the group selling process and power self-service e-commerce for travel agents and end customers. Another example is our most recent go live with Emirates Airlines. Emirates is now using PROS to power shopping and pricing through all its channels. Emirates is the perfect example of an airline innovating with PROS to build more direct engagement with their customers while reducing costs. We’re proud to have partnered with Emirates on their launch of their new premium economy service offering as part of this go live and look forward to continuing to help them drive revenue growth. Before I close, I want to share some amazing stories that demonstrate how our solutions are fueling profitable revenue growth for our customers. One of PROS customers, a fortune 500 high-tech distributor, has reported 15-year record level margins, with approximately 100 basis points of improvement generated in the last year. Their words to us were, this is the first time in our company’s recorded history that we’ve had inflationary pressures and actually been able to increase our margins and that’s because of PROS. This customer is using our expanded AI-powered scenario testing capabilities to optimize margins, revenue, and costs in parallel, a feature I discussed in my prepared remarks last quarter. We’re so proud to see our innovations drive record success for this customer and many more. Additionally, Qatar Airways, who I mentioned chose to adopt our air cargo solution in Q2, has been a PROS customer for over 22 years. In June, Qatar announced they achieved record level profits for their 25 years of operation, citing growth in passenger and cargo networks, as well as accurate forecasting of global recovery that enable strong cost control as key drivers for these results. We’re extremely proud of our partnership with Qatar and look forward to helping them drive even more success in this next phase of their journey. It's no coincidence that PROS customers are outperforming the market, because we’re their best-kept secret for profitable growth. I want to thank our team for their strong execution and their passion for supporting each other and our customers to drive success. Our team embodies our core values of ownership, innovation, and care, and I’m so proud of the environment we’ve created at PROS, together. A core focus of ours is creating an environment where every employee can grow and reach their full potential. Last quarter we received another incredible recognition of our culture by being certified as a Most Loved Workplace, backed by the Best Practice Institute. Finally, I want to also thank our customers, partners and shareholders for their continued support of PROS. With that, I’d like to turn the call over to Stefan to cover our financial performance and outlook.
Stefan Schulz: Thank you, Andres and good afternoon, everyone. Our team delivered another strong quarter, which exceeded the high-end of our guidance range across all metrics. For the first time in over 40 years, businesses across many industries are facing massive challenges with supply chain disruptions and increasing costs. As Andres mentioned in his comments, we are providing our customers with the tools to not only deal with these obstacles, but to deliver unprecedented results in their respective businesses. We are the only provider in the market with native platform capabilities, and not custom code, to optimize both revenue and cost simultaneously, an absolute game changer for businesses in today’s environment, and a CFO’s best friend. Today, the PROS platform is more important than ever as businesses look to drive profitable revenue growth, and we’re seeing that materialize in opportunities for PROS. Now, highlighting our second quarter results. Subscription revenue in the second quarter was $50.4 million, up 14% year-over-year and total revenue was $68.4 million, up 10% year-over-year. Our second quarter recurring revenue was 84% of total revenue. Non-GAAP subscription gross margins were 76% for the quarter, improving from 71% a year ago. As we mentioned last quarter, improving subscription gross margin has been a primary focus for our team, and the progress we have realized is a testament to our focus and innovation in this area. Our gross revenue retention rates in the second quarter remained above 93%. Our best-in-class revenue retention rate continues to demonstrate the value our customers drive with our solutions. Our adjusted EBITDA loss in the second quarter was $6 million, exceeding our guidance and keeping us on track to achieve our annual guidance. Similarly, our free cash flow burn in the second quarter was $2.2 million. As usual, we anticipate a slight improvement to the free cash flow burn in the second half of the year. We exited the second quarter with cash of $215.2 million. Our non-GAAP loss per share was $0.14 per share. Our second quarter calculated billings increased 8% year-over-year and 12% for the trailing 12 months, exceeding our expectations and demonstrating the strength we saw in the quarter. We ended the quarter with 58 quota-carrying personnel, and we expect to be at approximately 70 by the end of the year. This count, which is mainly a goal for 2023, is slightly lower than the number we communicated earlier in the year. We are increasing our focus on rep productivity and are confident in the strong team we are building to execute our goals for 2022 and beyond. Now turning now to guidance. We expect third quarter subscription revenue to be in the range of $50.5 million to $51 million, representing 15% year-over-year growth at the midpoint. We expect third quarter total revenue to be in the range of $68 million to $69 million. And we expect third quarter adjusted EBITDA loss to be between $6.5 million and $7.5 million. Using an estimated non-GAAP tax rate of 22%, we anticipate third quarter non-GAAP loss per share of between $0.15 and $0.18 per share based on an estimated 45.3 million shares outstanding. For the full year, we are raising our revenue guidance and expect subscription revenue to be in the range of $201.5 million to $202.5 million, and total revenue to be in the range of $270.5 million to $272.5 million. More than 80% of our revenues are contracted in U.S. dollars. Accordingly, we have not experienced a significant impact to revenues due to the strengthening of the U.S. dollar. For the full year, we anticipate a negative currency impact to our total revenue of less than $1 million, and this is factored into our updated guidance that we just provided. We are maintaining our annual guidance for ARR, adjusted EBITDA and free cash flow. In closing, I would like to thank our employees and customers for their continued passion and support. We also thank you for your continued support of PROS, and we look forward to speaking with you at our upcoming events. I will now turn the call back over to the operator for questions. Operator?
Operator: [Operator Instructions] Our first question comes from the line of Chad Bennett from Craig-Hallum. You may proceed with your question. 
Chad Bennett: Great. Thanks for taking my question. Nice job in the quarter. Looks very good and clean and up in the guide is pretty unique in this environment. So kudos. So, a couple questions just maybe first for Andres. Just relative to the travel comeback here and more from a booking standpoint, I guess, than would hit revenue, kind of how has that progressed since the last time you talked to talked to us in kind of -- in terms of recoveries of revenue previously modified or just brand new bookings in travel that might be ahead of plan that could help us in the future. Can you give us an update there?
Andres Reiner: Yeah. Chad, so I would tell you, look, we're very pleased with the overall performance, both on the B2B side and travel. From a sales execution, we continue to improve. I'm very pleased that we double deal growth year-to-date, and we booked more deals than we did all last year. Now, I would tell you that, of that deal growth, about 50 new customers and 50 expansions within existing accounts. So, the overall mix, it's really where we like to be. So, we're very, very pleased with those results. In terms of -- in the travel, in terms of revenue off of concessions, as we said, much of that we won't see this year. We'll see a little of it. We're on track with what we expected, but more of that we will actually see into next year.
Stefan Schulz: Yeah. Chad, just to follow up on that, we had said, probably about six months ago or so that we felt like $2 million was going to come into 2022. As it related to that, we're definitely on track to see that happen. I think though, to your question, are we seeing leading indicators that, that might be on track for next year and maybe even above track for next year? I'd say at this point, yes. We feel like we're on track to get to that next of revenue. But to Andres point, that'll be more than likely be next year.
Chad Bennett: Got it. And then maybe one for you. I appreciate the candor or the color, for Stefan. Subscription gross margins look really strong, especially sequentially in year-over-year. Was there anything unique in there? I mean, it's a pretty big sequential improvement for you guys, and do you believe this is kind of sustainable for the rest of the year? Thanks.
Stefan Schulz: Yeah. So, thanks for noticing, Chad. It's something we've been working on quite a bit. And so, there's several things that, that are happening, but most notably, our engineering teams and our cloud operations teams have really been working hard over the last couple of years to make our deployments more efficient, to make our use of the compute less stringent on the calculations and algorithms that we're running. And they've done a tremendous job of that. So, you're seeing the benefits of that. We do think this is something that's sustainable. And to be honest with you, I kind of view this as a step level, in other words, getting to this 76%, as one tier. And I think, it'll be a while before we take that next step, but we do intend to take a next step. Ideally, that would be next year where we can take it beyond 76%, because as we model out what it's going to take to be breakeven and into profitability, it really starts with our subscription gross margins. Those need to go beyond 76%, and we have plans and a process in place to do that.
Chad Bennett: Got it. Maybe one last one, sorry. I apologize. But for Stefan.
Stefan Schulz: All right.
Chad Bennett: With that step up in subscription gross margins and EBITDA was better and it seems like free cash flow will actually improve in the second half. In terms of line of site or kind of a marker for when the company or the business turns to free cash flow and maybe even operating margin, EBITDA margin positive, can you give us a timeline for that?
Stefan Schulz: Yeah. We've targeted next year i.e. 2023 is the point we make significant improvement and get to where I call approaching a breakeven from a free cash flow perspective, thinking mid to higher single digit burn is what we're thinking at this point. And I don't think there's going to be a year where we are quote breakeven. I think what'll happen is next year we'll get to approaching that level and then say 2024, we actually will cross that point. So, I would say, getting to breakeven is somewhere between 2023 and 2024, but 2024 being the year. And we actually break in the plus territory with 2023 being the point where we get very, very close.
Chad Bennett: Got it. Thanks much. Nice work.
Andres Reiner: Thank you.
Operator: Our next question comes to the line of Parker Lane with Stifel. You may proceed with your question.
Parker Lane: Yeah. Hi. Thanks for taking the question. You guys alluded to the fact that supply chain disruption is really catalyzing a lot of new business momentum. Curious when you talk to your customers when they expect some of that supply chain disruption to dissipate, is that in the 2023 timeframe, maybe earlier on in the year, later on in the year, just curious to hear what they're sharing with you and what their expectations are, and maybe how that informs their investment decisions?
Andres Reiner: Yeah. No Parker, that's a great question. I would tell you, look, what our customers are seeing is the number of changes supply disrupt -- chain disruption is one of the factors affecting. But if you think about inflation, if you think about currency fluctuation, they're seeing just extreme volatility. And I think they realize that this volatility is here to stay. And I think that's one of the themes. The other theme is digitization, this movement to drive more business through digital channels. And I would say those two factors is really what's driving our business and what customers are seeing. They need to better understand in real-time, what is happening to their business and how proactively through prescriptive guidance make actions that will allow them to continuously drive profitable revenue growth. So, what I would tell you is in terms of your question of when do they see that stopping? I don't think any of our customers are predicting that yet. They still expect to see supply chain disruption volatility in general. I think they feel that this is here to stay, and they need to be better equipped to manage and thrive in a volatile environment.
Parker Lane: Got it. Understood. And then Stefan, I appreciate the commentary around sales quota-carrying reps by the end of the year. I think you said 70, could you provide some color in the context of those comments you offered on the sequential decline in that number?
Stefan Schulz: Yeah. We have -- as I commented as well for the second half of the year, we feel like there's some opportunities to be more efficient. I think that's kind of the theme of a lot of tech companies these days. And so, one of the things that we've done is we've placed higher scrutiny on productivity. We've looked at what we're looking for in our reps to deliver the results that we're looking for. And we're very happy to report the -- a very strong first half of the year. We've actually seen an increase in the amount of participation of number of reps that are actually contributing to the bookings that we saw in the first half of the year. And quite frankly, it drove a starker contrast of those that are providing the bookings and those that weren't. And so, as a result, we've made a -- made some decisions that we're going to place higher scrutiny on those and remove some of those reps. And then we're looking to hire more productive reps in the back half of the year. As I said in my prepared remarks, getting to that 70 number is really about being ready for 2023. Even with the 58, we feel more than adequate covers what we're looking to do in the second half of the year.
Parker Lane: Makes sense. Appreciate taking the questions and congrats on the quarter.
Stefan Schulz: Thank you.
Andres Reiner: Thank you.
Operator: Our next question comes to the line of Rob Oliver with Baird. You may proceed with your question.
Rob Oliver: Great. Good evening, guys. Thanks for taking my questions. Andres, one for you to start. So, you guys had suggested the last quarter that some of -- that you were starting to see some of this, that this environment, albeit not great for many companies could actually sort of benefit you guys. And it looks like that is indeed playing out. Just wondering if you could talk a little bit about a couple things around the activity, one deal sizes, any change you're seeing there, any changes to deal timing, maybe deals that were moving a bit more slowly, emerging from the pandemic. Are you seeing those sales cycles speed up? And then I'd also love to hear about the contribution from partners. You guys obviously have some really meaningful partners in this area. And I'm just wondering in an environment where they're probably looking to move towards what's really working right now? Are -- is this serving as a catalyst for them? And then, I realize that's a bunch. And then I had a quick follow-up for Stefan as well.
Andres Reiner: Yeah. No, no, thank you. Great question. I would tell you, look overall, we're seeing very strong activity. Obviously, the results show it. In terms of deal speed, no major changes. In terms of deal size, no major changes. We've seen that fairly stable. But what I would tell you is there's definitely more scrutiny on the deals in terms of the value. And I think what's helped us is one, the compelling need to adopt our technology now and the pain point that our customers are having in the fast time to value and ways to get started and ramp quickly in true measurable ROI. And I think those three components -- I give kudos to our sales team. They execute it very well in a very challenging environment. I would tell you, also kudos to our European team. Europe, I know has been top of mind for a lot of companies, has done very well for us year-to-date, including in Q2 and it's kudos on the team on how well they're executing across those three vectors. But there's definitely a lot more scrutiny we're seeing -- because even when contracts get to signature ready, we're seeing the level of scrutiny to get to final signature, but have not seen that impact so far business. But it's definitely top of mind. In terms of the partners, we're very pleased, continue to see good progress and support from many of our partners like EY [ph] and Accenture, the global size in ISVs like Microsoft. I will say we signed a deal this quarter with Accenture that was on their paper. We have a reseller agreement now with Accenture and there was a deal that closed actually on their paper, sold by them, which is great to see. So, overall, the momentum on the partner side is continuing to improve as well.
Rob Oliver: Okay. That's great color. Appreciate that, Andres. And then Stefan, just one quick one for you. And I appreciate your commentary relative to free cash flow and profitability, looking out into the next year or two. But then -- but just specifically on the kind of the EBITDA beat for this quarter, the $1.5 million at the midpoint, you guys sort of reiterated full year guidance, I'm just wondering whether that implies conservatism or whether the profitability profile on the back half of years expected to be a bit lower. And if so, what would be the reason for that? Thank you very much.
Stefan Schulz: Yeah. So, Rob, it's going to be a continued focus on being as efficient as we can. So, we'll -- as I commented on the quota-carrying reps earlier, we're doing the same kind of thing across the board with all of our employees and in terms of looking at adds and we're being -- we're placing higher scrutiny on the additions that we're bringing into the company. So, there has to be a very good justification for it. And so there's a higher level of approval that's needed. So, as we put that kind of thing in place, we also put a higher scrutiny on discretionary spend, travel, other programs. We're going to be looking to make sure that we're as frugal as we can be to make sure that we are driving as much profitability and EBITDA improvement as we possibly can, all at the same time, making sure that we're still investing for the opportunities that we've been laying out. I think Andres' comments and his prepared remarks really speak to the opportunity that, that exists in this market is challenging as the market is. The -- in a way it's good for us because there's a lot of capability that we can provide for our customers that help them get through it. So, we're really walking that fine line of making sure that we're as efficient in doing the things as efficiently as we possibly can. At the same time, making sure we're not losing out any opportunities for growth.
Rob Oliver: That's helpful. Thanks. Appreciate the opportunity to speak with you guys. Thank you.
Andres Reiner: Thank you.
Stefan Schulz: Thank you.
Operator: Our next question comes to line of Scott Berg with Needham. You may proceed with your question.
Unidentified Analyst: Hey, guys. This is Josh [ph] on for Scott. Nice job on the quarter here. How should we think about the air travel recovery in APAC versus the rest of the world at this point? And how important is that region relative to the rest of the world for subscription recovery both this year and into next year?
Andres Reiner: Yeah. Josh, great question. I would tell you, a great sign is we're seeing customers like ANA this last quarter buy. In the quarter, we had signaled that we had seen activity and interest, and I would say it was proven in Q2. Overall, the sentiment, I talked about IATA number, their new prediction is the airline industry will get to 93% recovery by the end of 2022. And that improved from 79% projection they had at the end of 2021. So, overall, what I would tell you is just in general, when I see the sentiment across airline fact in various geographies overall, they see the light at the end of the tunnel. They see the demand that people want to travel in -- and overall, I think is trended, positive as we expected.
Unidentified Analyst: Okay. Great. And then you already gave a little bit of commentary on this, but specifically on the sales cycles, are you seeing any difference domestically versus international at this point?
Andres Reiner: We're not -- we're seeing the consistent theme is definitely scrutiny on the deal. So, I think in this type of environment, I think you need to be able to get time to value quickly. I think you need to be able to demonstrate through ROI to be able. And I think we've executed well in that front. So, definitely there's been scrutiny, but we have not seen lengthening of the sales cycles.
Unidentified Analyst: All right. Thank you very much.
Andres Reiner: Thank you.
Operator: [Operator Instructions] Our next question comes to the line of Jason Celino with KeyBanc Capital Market. You may proceed with your question.
Jason Celino: Hey, Andres. Hey, Stefan. Thanks for fitting me in.
Andres Reiner: Hi, Jason.
Stefan Schulz: Hi, Jason.
Jason Celino: The deal momentum, that's pretty encouraging. As the environment continues to improve, what are you seeing in terms of win rates, both in your travel business and B2B?
Andres Reiner: Yeah. In general, continues to be strong, has not changed. So, overall, I would tell you, like I said, from a deal timeline, ASP or win rate, no major changes. Just more volume.
Jason Celino: Perfect. Perfect. And then Stefan, just a quick one on the guidance. The second half, what are you assuming in terms of macro, any changes to the forecasting process different than prior periods?
Stefan Schulz: I think no, generally speaking, no. I think though, as we think more specifically, I'm -- I think we're a little wiser today than we were 90 days ago. I think, we're realizing that the -- that we are in a difficult macro environment for all the reasons that we're all aware of and that has been factored into our guidance. So, we haven't assumed any sort of improvement, if you will, beyond what we already are seeing. For example, in the travel space, we're not assuming there's any improvement in terms of the threats of recession or inflation or quite frankly, any sort of change in currency. So, we've essentially assumed that what we're in today is going to continue throughout the rest of this year.
Jason Celino: Perfect. Thanks for clarifying that.
Andres Reiner: Thank you.
Operator: Ladies and gentlemen, we have reached the end of today's question-and-answer session. I would like to turn this call back over to Belinda Overdeput for closing remarks.
Belinda Overdeput: Thank you for listening to today's call. We look forward to speaking with you at conferences and events this quarter. We will be attending the KeyBanc Technology Leadership Forum on August 8th and the Oppenheimer Virtual Technology, Internet, and Communications Conference on August 10th. If you have any questions following today's call, please contact us at ir@pros.com. Thank you and goodbye.
Operator: This concludes today’s conference. You may disconnect your lines at this time. Thank you for your participation. Enjoy the rest of your day.